Operator: Ladies and gentlemen, thank you for standing by, and good evening. Thank you for joining Sohu's Fourth Quarter and Fiscal Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. After management's prepared remarks, there will be a Q&A session. Today's conference call is being recorded. If you have any objections, you may disconnect at this time. I would now like to turn the conference over to your host for today's conference call, Mr. Eric Yuan, Investor Relations Director of Sohu. Please go ahead, sir.
Eric Yuan: Thanks, operator. Thank you for joining us today to discuss Sohu's fourth quarter 2016 results. On the call are Chairman and Chief Executive Officer, Dr. Charles Zhang; Acting CFO, Joanna Lv. Also with us from Changyou are CEO Dewen Chan; CFO, Jasmine Zhou; and Sogou CEO, Xiaochuan Wang. Before management begins their prepared remarks, I would like to remind you of the Company's Safe Harbor statements in connection with today's conference call. Except for the historical information contained herein, the matters discussed in this conference call are forward-looking statements. These statements are based on current plans, estimates and projections, and therefore you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution you that a number of important factors could cause actual results to differ materially from those contained in any forward-looking statements. For more information about the potential risks and uncertainties, please refer to the Company's filings with the Securities and Exchange Commission, including its registration statements and most recent Annual Report on Form 10-K. With that, I will now turn the call over to Dr. Charles Zhang. Charles, please proceed.
Charles Zhang: Thank you, Eric. And thanks to everyone for joining our call. Looking back at 2016, we faced a challenging operating environment. The sluggish economy, intensified competition and tightening regulatory rules on such industry, all these factors, impacted Sohu's Group financial performance. However, these challenges did not stop us from pursuing innovation across our key products and exploring new business opportunities. We saw encouraging progress in each of our major business lines. For Sohu Media Portal, through improved content and product design, the Sohu News App gained solid user traction. For Sohu Video, remained original products and one of our top priorities, and as we released several hit shows. The exclusive contend helped us rapidly expand our subscriber base. For Sogou, mobile search traffic and the revenues continued to outgrow the industry. And we have made artificial intelligence AI our major cornerstone for our long-term strategic direction. And lastly for Changyou, we focused on the efforts of building a pipeline of high quality mobile games as we prepared to roll-out a few big titles, including the Legacy TLBB mobile game, this year. Before I give more details about key businesses, let me summarize the financial results for the fourth quarter. Total revenues $412 million, down 12% year-over-year and flat quarter-over-quarter. These results were negatively affected by the depreciation of the RMB. And on a constant currency basis, total revenues would have been $20 million higher, or a decline of 6% year-over-year; net-brand advertising revenue $99 million down 30% year-over-year and 11% quarter-over-quarter; Sogou revenues $172 million, up 4% year-over-year and 3% quarter-over-quarter; online game revenues $95 million, down 25% year-over-year and 3% quarter-over-quarter; non-GAAP net loss attributable to Sohu.com Inc. $69 million, or a loss of a $1.79 per fully diluted share. For the whole year of 2016, total revenues $1.65 billion, down 15% compared with 2015. Net brand advertising revenues $448 million, down 22% compared with 2015; Sogou revenue $660 million, up 12% compared with 2015. Online game revenues $396 million, down 38% compared with 2015; Non-GAAP net loss attributable to Sohu.com Inc. $219 million or a loss of $5.65 per fully diluted share. Now let me go through some of the key businesses, first of all, the media business. Sohu Media Portal 2016 to accelerate the usage and excel usage of our flagship mobile product, the Sohu news App, Sohu news application. We contributed our focus on two things, one is the content the other one is product design. We strive to make user experience a bit better in every single new version we released. On the content side, we reshuffled the leadership of a newsroom and established a centralized editorial committee to make day-to-day divisions on headline news selection. We also strengthened our collaboration with external partners to enrich the content source. These actions enabled us to offer the audience a real-time and personalized news and information efficiently. The news App will continue to optimize its design and introduce new features to meet users’ appetite. For example, we significantly increased number of video-based stories in the news feed of our homepage. And also integrated content from chats and live broadcast into the news App. At the same time, we ramped up our marketing spending to accelerate the product penetration into the millennials and other younger generation segments. The effort helped drive our news App traffic growth and we see a growth continue into this year 2017. On the sales front, in the fourth quarter of 2016, ad spending from large end brand advertisers remained soft. While the monetization of small media enterprises, customers are resilient. For the full year of 2016, revenues from SMEs, small media enterprises, increased over 50% from a prior year. Now, Sohu Video, the 2016 was a transformative year for Sohu Video. While we still manage to secure a good number of high quality key initials, we relentlessly shifted our focus to self-developed content that can rely really with long lasting value to our platform. In the mean-time, we proactively developed subscription base service, which will potentially be the key growth driver, and the right business model. In the past year, leveraging our extensive experience in original production has doubled our investment and presented a strong line-up of original dramas, including highly acclaimed series such as Medical Examiner, Dr. Qin, Fa Yi Qin Ming; My Little Princess, Qing Ai De Gong Zhu Bing; and Campus Beauty, Tie Shen Xiao Hua; most notably the crime theme drama, Medical Examiner, Fa Yi Qin Ming, set a new record in our history, collecting a total views of over 1.5 billion video views. From a financial perspective, if we add advertising revenue with those from new paid subscriptions, the drama Fa Yi Qin Ming achieved profitability. The result demonstrated that the subscription model is likely to become a lucrative business. Looking ahead, we’ll continue our momentum into 2017, and our original pipelines appear to be very promising. We have prepared to launch the sequels of some of our most popular series, like Campus Beauty, Tie Shen Xiao Hua, The Monster Killer, Wu Xin and the Men with Sword sequel scheduled to air later this year. As I mentioned, benefitting from our exclusive original content and the dedicated marketing efforts, our subscriber base saw a strong upward trajectory in second half of 2016. In 2017, we plan to prioritize our resources to support our subscription business on top of the self-produced dramas. We have also introduced more attractive programs like movies to the subscription base package. We expect the business to contribute more meaningfully to Sohu Video over the next few quarters. For the year, purchased TV content in 2016, we maintained a good mix of high-quality domestic and American TV dramas. Of the top 10 most popular Chinese dramas, Sohu broadcasted six for American series. We showed containment and American crime on an exclusive basis. Since the beginning of 2017, we have decided to cut the reliance on costly TV head content. We have further elevated the importance of self-produced dramas. We believe the optimized content strategy will help Sohu Video to stay competitive in the long-term. Next, on to Sogou, so Xiaochuan Wang will tell you about the Sogou.
Xiaochuan Wang: Thank you, Charles. In 2016, Sogou strengthened our competitive position by differentiating our products and developing AI powered innovative applications. We were able to maintain healthy business growth as traffic and revenue share trend is higher. By year-end, aggregate search traffic grew 30% from a year ago with mobile search traffic up 70%. The user base of Sogou mobile keyboard expanded over 50% from a year ago, solidifying its position as the number three mobile app in China, in terms of daily active users. Financially, despite regulatory challenges facing the search industry triggered by a healthcare incident, Sogou managed to post healthy revenue growth. Total revenues in 2016 were RMB4.4 billion, up 19% from 2015. Even considering the ramp-up of expenses in R&D and marketing, we delivered sizeable profit, excluding the impact of certain onetime items, net income reach RMB614 million. In 2016, we launched and upgraded a series of virtual channels, including English, Academic and Wise Doctor, or Healthcare channel. These new services helped us expand us from competing products. In the fourth quarter, Sogou English search service was upgraded and renamed as Soguo Overseas. This is the first across language search engine globally that uses our proprietary machine translation technology. With it, users can input queries in Chinese and immediately get search results from English online sources along with the corresponding Chinese translation. During past year, we had AI as a core part of our long-term strategy. We dedicated massive resources to the area, and saw some solid progress, which significantly enhanced the voice and image capabilities of Sogou mobile keyboard as a number one mobile app for voice input in China. Sogou mobile keyboard voice input feature is now being used over 200 million times a day, more than double from a year ago. While we consistently refined our products, we have been also aggressively promoting our brand. Compared to a year ago, the Sogou brand is now better recognized and respected from users and business partners. In the fourth quarter, we launched a nationwide online and offline marketing campaign in 25-cities and received a broad and positive response from users. We also debuted Sogou's all new AI robot Wangzai which on February the 6th defeated human players in a popular question-and-answer TV show, as the difficulty level in this game for robots were even higher than any previous human computer content our success demonstrated Sogou's strong capabilities in AI spaces such as natural interaction and machine intelligence. Lastly, in terms of financial performance, total revenues for the fourth quarter reached $172 million, up 4% year-on-year. Exceeding our prior guidance in RMB terms revenues for the fourth quarter increased 11% year-on-year, continuously outpacing the industry growth. Mobile search revenue accounted for two-thirds of total search revenue. Non-GAAP net income was $21 million compared with $31.5 million a year ago. I would now like to turn the call over to our acting CFO, Joanna, who will walk you through the Group’s financial results.
Joanna Lv: Thank you, Xiaochuan. I will walk you through the key financials for our four major segments. For the fourth quarter and full year of 2016, the profit and loss numbers mentioned are all on a non-GAAP basis. For Sohu Media Portal, in the fourth quarter, revenues were $42 million, down 15% year-over-year. The quarterly loss was $10 million compared with net income of $5 million in the fourth quarter of 2015. For 2016, Sohu Media Portal revenues were $182 million, down 8% from 2015. Its full year net loss was $30 million compared with net income of $21 million in 2015. For Sohu Video, in the fourth quarter, revenues were $44 million, down 31% from a year ago. Of this, advertising revenue were $25 million. The quarterly loss was $82 million compared with a net loss of $35 million in the same quarter last year. For 2016, Sohu Video's total revenues were $172 million, down 30% from a year ago. Of this, advertising revenue was $123 million. Sohu Video's full-year loss was $282 million compared with the net loss of $173 million in 2016. For Sogou, total revenues in the fourth quarter were $172 million, up 4% year-over-year and 3% quarter-over-quarter. Of this, search related revenues were $153 million, up 1% year-over-year and quarter-over-quarter. Sogou posted net income of $21 million compared with net income of $31 million in the same quarter last year. For 2016, total revenues were $660 million, up 12% compared with 2016. Of this, search related revenues were $597 million, up 11% compared with 2016, Sohu income of $69 million compared with net income of $110 million in 2016. For Changyou, for the fourth quarter, total revenues, including 17173, were $131 million, down 19% year-over-year and 4% quarter-over-quarter. Changyou posted net income of $40 million compared with net income of $46 million in the first quarter last year. For 2016, total revenues were $525 million, down 31% compared with 2016. Changyou posted net income of $153 million compared with net income of $228 million in 2016. For the first quarter of 2017, we expect total revenues to be between $345 million and $375 million; brand advertising revenue to be between $75 million and $85 million. This implies annual decrease of 32% to 40%, and a sequential decrease of 14% to 24%; Sogou revenues to be between $145 million and $155 million. This implies annual decrease of 2% to annual increase of 5% and a sequential decrease of 10% to 15%; online game revenues to be between $80 million and $90 million. This implies annual decrease of 12% to 22%, and a sequential decrease of 6% to 16%; before deducting the share of non-GAAP net income pertaining to non-controlling interest, non-GAAP net loss to be between $45 million and $55 million. Assuming no new grants of share-based awards and that the market price of our share is unchanged, we estimate that compensation expense relating to share-based awards will be around $5 million, including the impact of these share-based awards; GAAP net loss before non-controlling interest to be between $50 million and $60 million; non-GAAP net loss attributable to Sohu.com Inc., to be between $60 million and $70 million; and the non-GAAP loss per fully diluted share to be between $1.55 and $1.80, including the impact of aforementioned share-based awards, and the netting of around $1 million of Sohu’s economic interests in Changyou and Sogou; GAAP net loss attributable to Sohu.com Inc. to be $64 million and $74 million and GAAP loss per fully diluted share to be between $1.65 and $1.90. For the first quarter 2017 guidance, the Company has adopted a presumed exchange rate of RMB7 to $1 as compared with the actual exchange rate of around RMB6.53 to $1 for the first quarter of 2016, and RMB6.83 to $1 for the fourth quarter of 2016. This concludes our prepared remarks. Operator, we would now like to open the call to questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session [Operator Instruction]. First question comes from the line of Eddie Leung of Merrill Lynch. Please go ahead.
Eddie Leung: I have two questions the first one is about Sogou. Wondering, if management can give us some color on the number of advertisers on Sogou in the past couple of quarters, and heading into first quarter 2017. Have we seen a recovery of the number of advertisers after the clean-up in middle of the year? So, this is my first question. And then secondly about the Media Portal business, just wondering, what could be the longer term strategy on the business, given continuous pressure on the revenues in the past year or two? Thank you.
Joanna Lv: For the fourth quarter we have the number of advertisers totaled 63,000. And looking into 2017, we expect to see a slow recovery of the number of advertisers.
Charles Zhang: The Media Portal for the long-term advertising prospect. First of all, we will continue investment in product improvement, and the marketing search channels to make sure that the user continues to grow, so that we have more inventories. And then we will have, expect long-term the small media enterprises to grow and have a lot of percentage of total revenue. So that offset the decline of the brand advertising rev to got impact more heavily by the macroeconomic situation.
Operator: Thank you for the questions. Next question comes from the line of Juan Lin from 86Research. Please go ahead.
Juan Lin: I've two questions. The first question is related to your brand advertising. Looking at your fourth quarter results for brand advertising, it looks like the pace of business decline seems to have slowed down from the previous two quarters. However, your first quarter guidance seems to indicate that the declines of brand ad will reaccelerate, although revenue already decreased in the first quarter of 2016. When should we expect brand ad revenue to stabilize? And then second question is related to Sohu Media Portal. I'm wondering if you could share with us some metrics for the mobile part of Sohu Media Portal, such as the new trend for Sohu Mobile Portal and news app, revenue churn. And how should we expect the mobile portal revenue to churn in 2017 given that competition is escalating? Thank you.
Charles Zhang: I think it's a slow season right, because of the New Year, right. For this spring festival it's actually the happened earlier this year. Actually, so why is that slow quarter for the Chinese New Year it's earlier than previous years; and secondly that we actually -- we’re downsizing the operational focus, because we’re just streamlining the focus. From Q2, it’s going to recover and stabilize and then recover. And also we hope that the small media, as I just said, the first question, the small media enterprises will start to grow. I will tell should you the Portal business, what portal, right?
Juan Lin: For both Web portal and app.
Charles Zhang: I can tell you the Web portal delay unique visitors, it's starting in on plus. Between 30 million and 35 million, and we're not giving out the numbers, the Dou, for Sohu News App. But we’re seeing growth in Sohu News App daily active users, especially we had, actually several versions upgrade in 2016 alone. Now, it’s upgraded to version 8.5, so it's actually the user experience greatly improved. So we should expect to continue growth of the user base of the daily active users for the Sohu New App. But we're not giving out a number yet for now.
Juan Lin: And then Charles, can you also comment on the competitive landscape for the mobile advertising sectors?
Charles Zhang: It's competitive landscape. I think definitely the brand advertising business -- are all in decline, because it's related to so much to the macroeconomic situation. But it's really the small media enterprise, the kind of a Big Data, through the mobile Internet, which is the advertising system just know that each individual user so much better, so that the Big Data advertising system exchanges system can actually match the users with the advertisers much better. So it's almost -- so it's similarly through -- we're actually getting just the kind of information flow type of information App actually getting to the territory of actually search engine. Those small media enterprises and the local companies that we hope in the future and in each cities they are starting to advertise. So, it's really the Big Data driving the advertising system. Now, the timing of this small and medium enterprisers advertising, and we hope that -- and also that's also competitors’ case. We hope that for Sohu, we hope that we rather daily actual user continue to grow. We hope that all these second and third and fourth tier cities are starting to use Sohu App so that we can make those mom and pop shop and those small companies to find, let them find advertising of Sohu quite effective to their business.
Operator: Thank you for the question. Next question comes from the line of Evan Zhou from Credit Suisse. Please go ahead.
Evan Zhou: I have two questions, first one regarding the content spending on the Video. What is the content spending plan for 2017? And how do you see the competition with these players like Tencent and HE? And secondly, could you update us the paid subscription numbers, and how do you see the channel going forward? Thank you.
Charles Zhang: Since the 2017 headcount spending already -- the committed in 2016, so the headcount and spending level is spending similar to actually to 2016. But for 2018, will dramatically reduce or downsize our spending for the headcount. And starting from later half of 2016, we invested heavily into Sohu produced content. It's exclusively on Sohu and with both advertising and the paid subscriber model. Since it's much -- it's actually much cheaper to have, and so that's why we're shifting focus that means that’s why with this kind of several hit shows and we are very confident in Sohu Videos, so it's kind of capability to produce good content as history or as the track record shows. So that we will be able to rapidly ramp up our user base of paid subscribers. And it's much better business model, which is demonstrated by actually U.S. counterpart which is Netflix. With that, in 2018, we’ll be able to have large of part our spending on in-house or Sohu produced contents, or purchased content for subscription. And then significantly downsize cut down the head content. And we’re looking at profitability of 2019 for the Sohu Video business. Of course, our competitors they have a lot more money, and there is more money, and we continue to spend heavily on head content, and also the production. But in compare with the competitor with Sohu just produce the better quality content. And since this is not -- this is like the TV channels and we actually have many channels. If you have good content and exclusively user always come to you. So, it sounds like the Sohu network or other Internet products, the leading one or two just now playing in the market. So, we are -- so I think Sohu Video will remain competitive in business, and moving toward the Netflix business model. We are not giving out -- but as you can see dramatic increase, because we started late. We started with a low base, but it's actually ramped up pretty fast in the later part of the 2016. But we are not yet giving our user base. But if you can look at the -- if you look at the revenue side, I don’t have any kind of decrease, that is because first of all there’s a microeconomic situation, but also we have the major shuffling, or sometime with shuffling of sales team then the new team it's actually up to speed to get through the brand advertising side on the video is stabilizing and come as we start to grow again. And then it is the -- now having revenue, which now already contributed 40% of the total revenue, and that’s part of -- for extent is a large part of it is actually subscription. So I will not give out the paid numbers, but you can see the revenue competition and you see the growth of the paid business.
Operator: Thank you. Next question comes from the line of Alicia Yap from Citigroup. Please go ahead.
Alicia Yap: My question is related to Sogou, the search business. Couple of part of it, one is that any change of the advertiser sentiment or any willingness to spend amount of various search platform post the medical incident happened last year. So, in other words, do you think that Sogou actually gained some ad budget share in light of the incident at the leading competitors? And have we seen any rising threat also from the UC [indiscernible] Shinma [ph] in terms of traffic shakings or revenue shakings as well? And then in related to that is also overall advertising sentiment, and also budget allocation. Have we seen over the past few months any shift of the ad budget from the advertisers, say from search engine to maybe the social or the news feed type of the targeted app. So, any color that you could share would be appreciated. Thanks.
Joanna Lv: So, as compared to Baidu or Shinma, first compared to Baidu, Sogou actually has very established monetization system. If you can grow your traffic share, you can also grow your revenue share as we apparently were gaining market share in terms of traffic, as well also gaining revenue share. As compared to Shinma, so we have more established advertising systems. And so, we don't think Shinma can pay us in terms of growing customers at budget. For the social network on news feed ad you mentioned, we do see some difficulty in quality of new customers because they can choose -- they can have more options. They probably would on social network using app.
Operator: Thank you for the question. The next question comes from the line of Hillman Chan from Macquarie. Please go ahead.
Hillman Chan: I have a question regarding the profitability of Sogou business. Just now you mentioned that we are rolling out marketing online offline Internet activities for the brand marketing. And also we're just stepping up our expense on the artificial intelligence development. So how should we think about the budget for these two going into 2017, and also the margin outlook Sogou compared to last year?
Joanna Lv: In terms of branding, probably -- in 2017 we probably changed the format. We think the AI has powered our products, and make us very competitive. So we were to some extent past advertising budget. But in terms of AI itself, we are continuing to invest aggressively on this front, so, R&D expenses will rise.
Hillman Chan: And last question is on the headcounts and for the wholesale Sohu business. Could we talk about the plans for any decisions for 2017? Thank you.
Joanna Lv: So, with Sogou and Changyou basically remained flat and with Sohu to have some kind of downsizing. So the headcount numbers will remain about the same for more or less, a little bit less.
Operator: Thank you for the question. Next question comes from the line of Natalie Wu from CICC. Please go ahead.
Natalie Wu: So, two questions here, first one is regarding Sogou. So, what's the management's expectation with regarding Sogou revenues growth in 2017? And as you know that by just launching new [CDAD] (ph), so is there any new advertising product for Sogou? And regarding social ad and a new [Indiscernible] [46.13] [CDAD] you have mentioned that you've noticed they have higher attractiveness in front of new advertisers. So, how about existing ones, especially SMEs? So did you sense any kind of budget shifting from them? And my second question is regarding Sohu Video, So Charles you mentioned that Sohu Video will reach breakeven in 2019. So rendering roughly scale of revenue size, are you talking at that time? And also how do you think about the competition dynamics in online video market, especially when IT just raised $1.5 billion…
Charles Zhang: You mean the -- what's your last question regarding?
Natalie Wu: Regarding Sohu Video, so you mentioned that Sohu Video will reach breakeven in 2019…
Charles Zhang: The scale, right, of the profitability…
Natalie Wu: Yes, the scale at that time. And you also mentioned that in 2017, the head content budget will be remained similar to 2016. So, if the competition in that field levels up, will you just being satisfied with procuring less content in terms of quantities? So that’s my question.
Charles Zhang: So the first question about, basically [Foreign Language]…
Joanna Lv: So, on the revenue side, we are still formulating our 2017 budget. So, we don’t have a revenue number for you. But we expect to continue to outgrow the industry. And you see as we are making some try at the moment, but we don’t think it's a part of our core strategy. The existing SMEs they place much more emphasis on the set of advertising. So, search for them is still the best format of advertising.
Charles Zhang: Well, we’re running the in Sohu Video -- we’ll achieve profitability in 2019. And then I can tell you that by the end of this 2017, we’re going to have, the subsidiary based revenue will be half of the total revenue, or actually be -- or surpass the advertising revenue, right, by the end of the year -- by the end of this year. The subscription business will surpass the advertising revenue. And so we don’t have a forecast for 2019 of profitability, so I don’t have estimate yet, but it's a general. And also for the 2017 head content, I think we already committed actually the purchase or the already finished or already finished committed last year, and we basically secured most of the top quality head content.
Natalie Wu: So Charles, you mentioned that -- so just to make some clarification. So, you mentioned that at the end of 2017 the subscription revenue was surpassed ad revenue. So do you mean in December one month revenue or the whole year of 2017?
Charles Zhang: I think Q4.
Natalie Wu: The Q4 revenue, okay, great. Thank you.
Charles Zhang: Yes. As I said, it's even the competitor have more money. They may spend money on head content. But as I said, the content business is different from social network or other platform business. If you have good content exclusively on your platform and since it’s not that expensive for users to pay just like RMB20 per month. So you see users still come to our platform.
Operator: Thank you for the question. Next question comes from the line of Thomas Chong from BOCI. Please go ahead.
Thomas Chong: Can management give us some color about the trend of your content cost in 2017? And also the breakdown between TV-drama versus our in-house content, thank you.
Charles Zhang: 2017, I think we already -- I think we give that out numbers, no. So, I think it's the same right, so in 2017, 50% of headcount and purchase.
Thomas Chong: Unit growth…
Charles Zhang: No the total committed -- not the revenue, but the content spending, right. Your question is about content spending, right?
Thomas Chong: Yes. Charles, just want to get a sense about in terms of year-on-year both in content spending. How much are we seeing compared to last year?
Charles Zhang: The head content spending is similar to last year, but the in-house production spending as I said just increased.
Thomas Chong: Charles may I as a quick follow-up question in terms of the mix between in-house versus head content. Should we expect it to represent about 70% of the content cost over the long run?
Charles Zhang: You mean 70% of the content cost for head content, or for…
Thomas Chong: For in-house what they’ll produce in the long run?
Charles Zhang: I think in the long run, you see -- I think the 2017 is a turning point it's a year of transition. So in 2017 it's similar, we ramp up the spending on in house -- I wouldn’t call it in-house spending, just because of Sohu production, okay. So Sohu production exclusive content for paid subscription business, so it’s actually ramp up so that now it's about similar to the spending of the head content. But moving forward in 2018 you see a reduction of the head content, so it means that the mix will be basically the superior business or a large part. But our advertising business will continue to grow because we have another product, which is PGC, or we call it for short clips, in English, short clips. That means producer is some of those contributors from third-party contributors for the short clips content videos on Sohu platform. That part will mostly be advertising supported, because you won’t charge for those kind of content. It's a very knowledge based in all kind of information and knowledge, it's like YouTube, and that is growing nicely.
Operator: Thank you for the questions. We have no questions from the phone line. Ladies and gentlemen, that does conclude the conference for today. Thank you for your participation. You may now disconnect the line.